Operator: Good day, and welcome to the Q2 2022 Vistra Earnings Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Meagan Horn, VP Investor Relations. Please go ahead.
Meagan Horn: Thank you, and good morning. Welcome to Vistra's investor webcast discussing second quarter 2022 results, which is being broadcast live from the Investor Relations section of our website at www.vistracorp.com. Also available on our website are copies of today's investor presentation, our Form 10-Q and the related press release. Joining me for today's call are Jim Burke, our President and Chief Executive Officer; and Kris Moldovan, our Executive Vice President and Chief Financial Officer. We have a few additional senior executives present to address questions during the second part of today's call as necessary. Before we begin our presentation, I encourage all listeners to review the safe harbor statements included on Slide 2 in the investor presentation on our website that explain the risks of forward-looking statements, the limitations of certain industry and market data included in the presentation, and the use of non-GAAP financial measures. Today's discussion will contain forward-looking statements, which are based on assumptions we believe to be reasonable only as of today's date. Such forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected or implied. We assume no obligation to update our forward-looking statements. Further, today's press release, slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are provided in the press release and in the appendix to the investor presentation. I will now turn the call over to our new CEO, Jim Burke, to kick off our discussion.
Jim Burke: Thank you, Meagan, and good morning to everyone. I am excited and eager to talk with all of you as I take on this new role for Vistra. Over the past few months, I've been asked what I envision for Vistra's path forward. Accordingly, turning to Slide 5, before I discuss our second quarter results, I would first like to reinforce a few of my thoughts on Vistra's strategic direction and top priorities. I continue to remain confident in our short-term and long-term value proposition precisely because we intend to remain focused on the 4 key strategic priorities we initially defined in the third quarter of 2021. As we've shared in the past, Vistra is well positioned for the long term during this energy transition. In addition to ensuring that our customers and our communities have the power they need, our integrated approach enables us to deliver strong financial and operational performance, particularly in volatile commodity environments through the operational excellence and expertise of our generation retail and commercial teams. As part of this integrated business, we are continuing to execute on the comprehensive hedging strategy that we announced last quarter, which is locking in significant future year earnings potential. This effort is supported by a high-performing generation team and a customer-focused retail team experienced in managing counts, margins and customer experience, and both teams are supported by a strong commercial team that captures market opportunities and manages risk in a dynamic marketplace. Second, it is fundamental to a business that manages through volatile commodity markets to have the financial flexibility to hedge both fuel procurement and power sales for our fleet and for customers. We remain committed to a strong balance sheet and an ample liquidity position. As Kris will cover later, we anticipate paying down a significant amount of debt in the second half of this year as our 2022 hedges settle and the corresponding cash collateral is returned. At year-end, we expect our net leverage ratio to be approximately 3x based on the range of ongoing operations adjusted EBITDA we expect in 2023. Third, we are delivering on our capital allocation plan that prioritizes a significant return of capital to our shareholders through 2026. We remain committed to paying aggregate dividends of approximately $300 million per year with the per share amount increasing as we repurchase our shares. We continue to believe that share repurchases provide an efficient, attractive means to return capital to our shareholders. We are executing on our $2 billion share repurchase program on an accelerated basis, having completed approximately 80% to date and expect to complete the balance before year-end. Accordingly, we're pleased to announce that our Board has authorized an incremental $1.25 billion for share repurchases effective immediately, which brings our cumulative authorization to $3.25 billion and the remaining amount available for repurchases to approximately $1.65 billion. We expect to complete the full authorization by the end of 2023. As we deliver on our earnings potential, we will revisit the size of the share repurchase program on a regular basis. Finally, we've made great progress on the build-out of our Vistra Zero platform, which we expect to grow primarily by utilizing cost-effective third-party capital. I'll speak to updates on Vistra Zero in more detail momentarily. I am committed to the execution of our strategic priorities as I firmly believe that our successful execution of these priorities will enable Vistra to deliver sustainable long-term value for all of our stakeholders. Now turning to Slide 6 for our second quarter results. We achieved $761 million of adjusted EBITDA from ongoing operations. Our Retail segment grew ERCOT residential customer counts in the quarter and year-over-year. In fact, our flagship TXU Energy brand had its best quarter residential counts performance in nearly 15 years while achieving our target margins in a dynamic market. This highlights our expertise as an integrated energy company to acquire and retain customers through volatile and high-priced commodity cycles. Our unique product offerings and multi-brand and channel strategy, combined with our commercial team's expertise in managing risk, drove this success. Our Generation segment similarly performed above expectations, achieving commercial availability of 95%, a strong performance, especially considering the unseasonably warmer weather experienced in Texas in the second quarter. The teams worked diligently to perform regular maintenance on an expedited basis and in some cases, truncated schedules to ensure the plants were available to the grid during the heatwaves experienced in the latter half of the second quarter. We are reaffirming today our previously announced guidance of adjusted EBITDA from ongoing operations of $2.81 billion to $3.31 billion and adjusted free cash flow before growth from ongoing operations of $2.07 billion to $2.57 billion. We don't typically update current year guidance until our third quarter earnings discussion, but favorable weather and strong performance in our Generation and Retail segments provide increased confidence that our 2022 outlook is tracking above the midpoint of guidance. Of course, the remaining summer months are important across the country for us, so we are focused on proactively maintaining our fleet during times of lower demand to avoid unplanned outages as much as possible. We understand that execution is key to delivering the full value we believe possible in this environment. Turning to Slide 7. As we discussed in the first quarter, we are currently experiencing a highly favorable pricing environment. We've used this opportunity to continue to execute on the comprehensive hedging strategy we previously discussed. As a result of our comprehensive hedging strategy, Vistra is now over 60% hedged across the years 2023 to 2025 with 2023 now hedged at approximately 80%. Last quarter, we stated that given the marks as of April 29, we anticipated a risk-adjusted midpoint opportunity in the range of $3.5 billion to $3.7 billion for the years 2023 through 2025. Curves moved up considerably in May and early June before coming off in late June with the drop in natural gas prices. For 2023, when comparing where we were as of April 29 and rolling that forward to July 29, overall, the curves are in a similar place despite the volatility we've seen over the past 3 months. However, for 2024 and 2025 since April 29, as the graphs indicate, both power and gas curves have continued moving up. As our hedge percentages have increased, our confidence in this earnings potential has grown. And more than that, we continue to believe this range could be on the conservative side. Of course, given that we are not fully hedged, there remains a significant range around this earnings potential, especially in '24 and '25. Looking ahead, assuming the forward curves continue to hold or improve, you can expect us to continue to execute on this comprehensive hedging strategy to lock in more value while maintaining sufficient generation length as insurance against the unforeseen. As discussed last quarter, our hedging strategy requires ample liquidity for collateral postings, we continue to proactively manage our liquidity requirements in a way that allows us to remain confident, and we can execute this hedging strategy and the capital allocation plan in tandem. Kris will go into more detail on our liquidity management activities later in the call. Turning now to Slide 8. I wanted to provide a brief update on our Vistra Zero growth trajectory and how we are positioning Vistra to capitalize on this significant opportunity. This past quarter, we returned both phases of our Moss Landing energy storage facility to service with over 98% of its maximum capacity on the expected schedule and ahead of California's hot summer months. We successfully restored and addressed root cause concerns during this timeframe, and we anticipate the final few megawatts to be restored by the fall. In addition, we began construction on the 350-megawatt Phase III expansion of our Moss Landing facility, which we expect to be online by June 2023. In Illinois, we bid in a competitive process. And in May, we were selected by the Illinois Power Agency to provide over 460,000 annual renewable energy credits, or RECs, over the course of 20 years. The contracted sale of these RECs will serve to provide stability of the revenue streams of our coal to solar projects. In June, we were also awarded energy storage grants at our Joppa, Havana and Edwards sites to be received over 10 years. We expect to bring our Illinois projects online in the 2024 timeframe ahead of the required dates for the awarded contracts. Finally, our development projects in Texas continued to make great progress as well. In April, we announced that our 50-megawatt solar facility Brightside was online. This was followed by announcement in May that our 260-megawatt energy storage facility at DeCordova was online. And in June, our 108-megawatt ERCOT solar facility, Emerald Grove, was online. We now have 608 megawatts for Vistra Zero online of solar and energy storage serving the ERCOT grid. In addition, of course, to our Comanche Peak nuclear facility. Our teams did an excellent job of delivering these projects in Texas as well as returning Phases 1 and 2 of our most Moss Landing facility to normal operation in California. Some of our early-stage projects that we are evaluating are facing potential impacts from supply chain constraints and inflation. We prudently reevaluate the business cases of these projects on a regular basis. For example, we have reassessed the timing of certain ERCOT solar projects, and we will move ahead with these projects only if we have confidence in the returns. Since we own these sites and we have the flexibility on timing, this is something we expect to remain dynamic. We are excited about the pipeline and the growth potential of achieving 7.3 gigawatts in Vistra Zero generation online by 2026, but we are also going to remain disciplined on the projects. Of course, in light of the newly introduced Inflation Reduction Act, it is possible that our Vistra Zero development projects could see enhanced returns. It is certainly a dynamic time in the marketplace and Vistra is extremely well positioned with both a strong outlook on our core generation and retail businesses, but also with Vistra Zero. With that, I will turn the call over to Kris Moldovan, our recently named CFO, to discuss the quarter's financial performance and our capital allocation progress in more detail. Many of you already know Kris well and his track record of successfully driving shareholder value for Vistra, and as of late, his active and effective management of our liquidity position. As background, he practiced as an attorney for over a decade, including gaining significant experience through representing clients in merger and acquisition activity as well as complex financing transactions. Kris has been with Vistra and its predecessor for 16 years and joined the finance team in 2010, where he has focused on some of the most complex financial transactions in our industry. I've had the privilege to work with Kris for many years and could attest personally to his insights and capabilities, and I'm very much looking forward to partnering with him as we take Vistra forward in these exciting times of transition and growth. Kris?
Kris Moldovan: Thank you, Jim. It's an honor to be in the new role and representing Vistra on the call today. While I have met many of the participants on the call in my previous role as the Treasurer of the company, I look forward to getting to know everyone and spending time with each of you in the coming months. I'll turn now to Slide 10. As Jim noted earlier, Vistra delivered strong financial results during the second quarter with adjusted EBITDA from ongoing operations of approximately $761 million, which was above management's expectations. Retail ended the quarter at $403 million of adjusted EBITDA from ongoing operations. And while this result is $107 million lower than second quarter 2021, it is important to note that this difference is more than accounted for by the amount of onetime self-help initiatives we undertook in the second quarter of 2021 to offset some of the losses we experienced in the preceding quarter. Retail performance this quarter was favorably impacted by warmer weather, strong margins and exceptional residential customer count growth in Texas. Moving to Generation. Our collective Generation segments ended the quarter with $358 million of adjusted EBITDA from ongoing operations. This result was approximately $14 million above our second quarter 2021 results after adjusting second quarter 2021 to remove the earnings attributable to Zimmer and Joppa, which are now reported in the Asset Closure segment. This increase was driven primarily by favorable prices we experienced in the quarter offset by the ongoing coal constraints the industry continues to experience as well as onetime benefits of self-help initiatives executed in the second quarter of 2021. Finally, turning to Slide 11. Our strong financial results allow us to continue to favorably execute our capital allocation plan. Specifically, as of August 2, 2022, we have executed approximately $1.6 billion of the original $2 billion authorization, repurchasing approximately 70.5 million shares or approximately 14.6% of the shares that were outstanding as of November 2021. Since we expect to execute the remaining portion of the $2 billion authorization before year-end 2022, as Jim noted, the Board of Directors has authorized an incremental $1.25 billion of share repurchases effective immediately. As such, we have approximately $1.65 billion of aggregate remaining availability for share repurchases under the upsized $3.25 billion authorization, which we expect to execute between now and the end of 2023. Additionally, the Board recently approved a quarterly dividend to be paid on Vistra's common stock in the amount of $0.184 per share or approximately $75 million in the aggregate payable on September 30, 2022. This is an approximately 23% growth in dividend per share as compared to the dividend paid in the third quarter of 2021. While we are focused on returning capital to our shareholders, we remain steadfastly committed to balance sheet strength, targeting a long-term net leverage ratio below 3x, excluding any nonrecourse debt we raised at Vistra Zero. This year, however, the material increase in forward power prices for the balance of 2022 through 2025, taken together with our increased forward hedging activities to lock in those prices, has resulted in significant increases in our collateral posting obligations and required liquidity to support these obligations. As such, we have actively worked to increase our available liquidity, including issuing $1.5 billion of short-term senior secured notes, in addition to increasing the aggregate commitments under our corporate revolver by $725 million and increasing the aggregate commitments under our commodity-linked revolver by $250 million. As a result of these proactive transactions, we have significantly increased our available liquidity which was approximately $4.5 billion as of August 3. Looking forward, as we deliver power against our hedges over the balance of 2022, we expect to see a material return of collateral including a significant amount of the cash we had posted at June 30. To that end, we anticipate repaying more than $2.5 billion of debt by year-end, including debt outstanding under our revolving credit facilities. Of course, we must continue to prudently balance the timing of these debt repayments against the liquidity needed to support our hedging program. In addition to repaying debt, we will continue to monitor and optimize the amount and sources of liquidity necessary to support our existing hedges as well as any additional hedges we may execute over time. We said we would focus on execution in 2022 and the efforts of our generation retail and commercial teams in the first 6 months have positioned us well for a successful year. We remain focused on our strategic priorities and look forward to discussing third quarter results and our outlook for the balance of 2022 and for 2023 on our next call. With that, I'll turn the call back over to Jim for a brief wrap-up.
Jim Burke: Kris, very much and congratulations on the new role. Turning to Slide 12, to recap a few key points. First, our integrated model is uniquely positioned to capture long-term value in these dynamic conditions, and we are comprehensively hedging and have locked in over 60% of this value for the period of 2023 to 2025. We believe we have ample liquidity and balance sheet strength to execute this strategy. Our confidence in our outlook is reinforced by the upsizing of the share repurchase program to $3.25 billion, and we continue to return capital through this program and our $300 million annual dividend. Finally, we have made great progress by bringing online over 400 megawatts in new assets in Texas this spring with Vistra Zero while restoring Moss Landing battery operations in California. With our Illinois coal to solar contracts and other pipeline projects, we are excited about our ability to decarbonize our fleet and grow our business. We are tracking ahead of our 60% greenhouse gas emissions reduction target by 2030 for our fleet, and we anticipate Vistra Zero will more than replace the earnings of the retiring coal units and we are doing this with cost-efficient capital. This is an exciting time for Vistra, and we are well positioned for this energy transition to deliver long-term sustainable value for all of our stakeholders. With that, operator, we will open up the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Shar Pourreza with Guggenheim Partners.
Shah Pourreza: So let me just ask more of a top level and maybe we could start sort of with the capital allocation announcement. It's, obviously, a bit earlier than we expected, but that's a good problem to have. How should we be thinking about the cadence of future updates given the move here? Could we start to see more off-cycle announcements as free cash flow generation for the next 3 years is increasingly locked in with the hedges? I guess what do you mean by “revisit” on a regular basis? And have you and the Board thought about potentially allocating everything you've locked in through '25 all at once?
Jim Burke: Shar, there's a lot in that question. Let me first start with the idea that we are just past the halfway point 2022 and we feel good about where 2022 is trending. We were working through the buyback program in a fairly expeditious manner. And our next call, obviously, would be early November. So we thought, given where we're tracking in '22, plus the incremental hedging that we've been able to do for '23 through '25, our confidence level was higher. We wanted to keep the momentum in the market from a return to capital standpoint. So we felt comfortable asking for the authorization and the Board was obviously comfortable approving it as a sign that the earnings power of this business has taken a material step up since early this year when we saw the curve start to rise in April. As far as the frequency of it, I think it's a function of a number of factors. It's a function of what are the market opportunities from the capital standpoint that we could deploy in the base business. We are obviously always even looking for upgrades in our own units, where we can bring in incremental megawatts, for instance, in ERCOT. We've operated some of our units to capture some of the prices that we saw this summer. So there's -- on the margin, there's opportunities to deploy on the base business small amounts of capital. Vistra Zero is obviously something that could accelerate some with the IRA that we're talking about here. But I think the main thesis, which is as we get a line of sight to these cash flows, the 60% is still well hedged, but there's still plenty that's not hedged. As that confidence builds, we could continue to update the capital return strategy, and that was the point we tried to make in our comments, and I think we have to just see how the market curves and follow from this point forward in tandem with our hedging strategy.
Shah Pourreza: Got it. Got it. And just on your hedging real quick, I guess, obviously, the backdrop is really strong. There's some perpetuity to it. I guess, why aren't you just hedging everything at this point? Is it just that you can't give the liquidity out in ‘25, fuel hedging, maybe just a bit of a fundamental view here.
Jim Burke: Sure. I think you hit a couple of the key points, Shar. The market depth is not as great, clearly, out in 2025 as it is in '23. The liquidity that we have, while it is ample, it does take more liquidity in reserve to be able to hedge that far out. And so you can imagine we've got sort of a downward sloping hedge percentage where ‘23 is hedged higher as we said, over 80%. '24 is less than that and then '25 is less than that. It's also we do tandem hedging, where we want to make sure that we've got the fuel to back up the hedging for our generation assets and some of the fuel procurement out that far in certain regions is not as deep. And so we take all that into consideration. And also, we're not sure in some of these that full value are still realized. These curves have moved up in '24, '25, but there may still be some room to run. And so it's okay for us to have a little bit of exposure to that, too.
Shah Pourreza: Got it. And then lastly, Jim, for me is one of your peers recently mentioned that they were considering maybe contracting for new build gas in ERCOT, right? I guess do you agree the market needs more? Do you guys have a fundamental view, I guess, over the next 5 years in Texas. The CDR says one thing, but the real-time markets says another.
Jim Burke: Yes. Shar, great question. That's actually hitting on the bigger topic about ERCOT market reform and how is ERCOT going to sufficiently incentivize not only the potential for new assets to come online that are dispatchable, be it thermal or battery, but also retain the assets that actually has, on the grid that were needed multiple times from May through July. I think as the market and the CDR indicates more interment resources, are clearly in the queue, and they've been coming in a fairly robust fashion. But that means that all the other assets are dispatching at times against marginal cost assets that could be dispatching at 0 or even negative prices. So I think ERCOT reform is going to have to consider how does the revenue mechanism for dispatchable assets have a factor that considers their availability and their reliability. And that may be a payment mechanism that suffer in the part can simply redispatch for energy purposes. That hadn't been figured out yet. And so I do think there's a worry that the only thing that has the incentives and that’s primarily because of federal incentives to be built are more of the intermittent resources. And I think policymakers are focused and interested in having the reliability that the dispatchable assets bring. That's the focus of the study that the consultant is doing on behalf of the Public Utility Commission. We believe that there needs to be a focus on reliability. There's been a lot of focus on the transition from an environmental and emission standpoint, but in many places around the country, the reliability aspect has not been the key area of focus. I think Texas is focused on that, and Texas wants to solve this. That might incentivize some thermal generation. But without that incentive, it is hard to see that penciling now in our analysis. And so potentially with market reform, that might be something that would work.
Operator: Our next question comes from Steve Fleishman with Wolfe Research.
Steve Fleishman : Yes. I want to echo congratulations, Jim and Kris. So just on the $3.5 billion to $3.7 billion range, '23 to '25. Is that an average over the 3 years? Or is that a range you expect each year?
Jim Burke: So that is an average, Steve. And similar to the last call we had, what we see is we're more hedged in the early part of that period, and we're less hedged obviously in the latter part. So even though on an absolute basis, the curves aren't as high and say '25, '23. Once you consider the relative hedge ratios, they actually end up being pretty similar.
Steve Fleishman : Okay. So just I guess my next question was just going to be the shaping of the $3.5 billion to $3.7 billion, '23, '24, '25. It sounds like based on what you said, it's kind of similar each year?
Jim Burke: It is. Now, the good news is that '24 and '25 have continued to run on fine as that shape doesn't look flatter. We're more locked for '23, so we won't capture probably as much upside if '23 were to continue to run. Or the '24, '25 were to then we could absolutely see still upside in that slope actually shifting more to upward.
Steve Fleishman : Okay. That makes sense. Is it fair to assume for '24, '25, you're using forward curves as they are right now for the open positions in those years? Or are you are cutting some just because --
Jim Burke: So yes, so we're using curves of [7 29] as we refresh this analysis. We have to take into some consideration, Steve, some of the unknowns. I mean we assume that some factors like coal constraints would have worked their way out more by 2025 and potentially the balance of '22 and '23. So we have done, and we said this risk adjustment, we have taken into account some risk adjustments as we think about this. That's why we think the $3.5 billion to $3.7 billion is conservative. So we still have a decent open position out there. So it can go the other way, right? That's why we feel like hedging makes sense. That's why we like the opportunity to keep ample liquidity. But yes, this is a conservative view on a risk-adjusted basis.
Steve Fleishman : Yes. All right. That makes a ton of sense. And then just on the IRA aside from potentially improving returns for your renewables opportunities? Any other broad thoughts on implications for Vistra as it passes?
Jim Burke: Yes. I think there are some. I think obviously, the most immediate ones would be on the renewables piece and the stand-alone batteries. More than 50% of our Vistra Zero opportunity set is storage related, and that was not attached to solar, in most cases to solar. So standalone battery ITC is meaningful for us. On carbon capture, we have some assets that could be good candidates. That's a little bit further out to be able to get the technology, but certainly, the economic incentives could be there, and we've got some attractive assets that could be coal or gas that could be candidates for carbon capture. And then the hydrogen piece, obviously, with the nuclear facility, with Comanche Peak. You've got not only the hydrogen incentive, but the production tax credit, which at today's curves looks a little bit more like it provides a floor support. I wouldn't consider it in the near-term incremental EBITDA, but it certainly helps provide a floor that's a lot higher than where the floor was in 2018, where we were looking at forward curves in the mid-$25 to $27 range for as far as the eye can see. So even if the floor is $40 to $44, that's a much more attractive place to put a anchor for a large carbon-free asset like Comanche Peak. So that's how we think about the IRA.
Steve Fleishman : Okay. And then one last quick question on retail. Very strong quarter for you in terms of customer growth and the like. Could you just maybe give a little bit more flavor on the competitive dynamics you're seeing in retail in Texas?
Jim Burke: Yes, you bet. And I'll kick it off, Steve, and then I'd like Scott Hudson to comment here in a second. We have had a really good run in the ERCOT retail business for well over a year now. And the second quarter was really strong, as you noted. We tend to do really well. If you go back over the 20 years, when curve start to move up rapidly, and there's a lot of volatility, our value proposition to our customers really shine because we forward buy sometimes the hedging and folks would like to see a more open position. But part of our hedging strategy is selling from generation to retail and retail being able to lock in a good price for that -- for the customer base. A lot of our competitors aren't doing that. So our customers were seeing year-over-year, when inflation for gasoline was up 50% and even doubling, we're seeing our revenue rates over the quarter-over-quarter in the 8% to 10% increase rate. So that's a real value proposition for our customers. So our retention was excellent and then our acquisition with new products that we've announced heading into this hot summer which has been really well received, is something I'd like Scott to comment on because it is a product innovation and a channel strategy. It isn't just a game of oil pricing, but I think the platform that we have of stability for customers is really attractive in these periods, and it's showing up in the customer count. Scott?
Scott Hudson: Yes. Thanks, Jim, and thanks for the question, Steve. A little bit about market dynamics that we're seeing -- the market was extremely active in the quarter, first of all, with new transactions being up by about 19%, and then we're -- to capture more of that market activity. We also saw a tremendous amount of leads coming into our call centers and our digital properties, which, as Jim mentioned, I think, really speaks to the effectiveness of the marketing. And in times of volatility customers that might be on a less-known brand really come to brands that they know and trust and TXU Energy clearly falls in that category. And then lastly, as Jim mentioned, we're really known for offering first of a kind mass market product offers and the market we had -- the product we had in market this summer was called Ultimate Summer Pass. And it's a seasonal discount product that gives you percentage off during the summer and because it was so hot that particular product just really resonated with the consumers. But we have a lot of proven capabilities in terms of analytics and marketing and channel strategies, but it really is just a focus on the customer experience and how we really try to be consultative with our customers and help them find the right product and the right plan, and it's really all contributed to our success. But again, thanks for the question.
Jim Burke: Steve, I would just wrap with Scott's comment by just adding that these gains are some of the best gains we've seen in 14, 15 years. Competition has kind of winnowed a bit in terms of number of competitors because the balance sheet and the hedging requirements and the volatility make this a difficult business to just be standalone. And I think this is another case where the integrated model has really been able to show its effectiveness.
Operator: Our next question comes from David Arcaro with Morgan Stanley.
David Arcaro : Maybe I have a quick follow-up on the inflation Reduction Act. Any thoughts on the minimum tax and whether that could impact cash flow going forward?
Jim Burke: I'll comment, and then I'll ask Kris to say a few words. It could. Not in the near term. We don't see anything. We still carry losses from Yuri. And so -- this is going to be something that for book purposes, it's going to take a while to work out of. And so it would down the road, as we think about what is our federal tax exposure, it could increase it. But it's not a near-term kind of in immediate vicinity of our planning horizon, but I'm going to let Kris comment further.
Kris Moldovan: Thanks, Jim. I think that's right. Given the fact of the losses during Yuri and those book losses, we don't see throughout the entirety of our planning horizon that coming into play. We will continue to monitor it. But it's not -- as Jim said, it's not a near-term effect on us.
David Arcaro : Okay. Great. That makes sense. That's helpful. And then there's been a lot of focus on operations, just given how tight the ERCOT market has been. Wondering if you could just comment on kind of the current health of your fleet in ERCOT, how comfortable you're feeling as we head into August. And whether there is just still kind of maintenance work that you're trying to chip away at or just how -- what the current state of the fleet is right now?
Jim Burke: David, thank you. Great question. First of all, I'm going to tell you about how we have performed, and I hope that doesn't jinx our performance going forward because it is a tough business. And I can't get into the specific details of the financial impacts, but I can tell you from a reliability standpoint, the fleet performed exceptionally well, particularly in July, which was a critical period. The men and women that are out there in these conditions, making these units operate at the level of effectiveness that they have is really just a tremendous, tremendous effort, and there were times, I'm sure you were following where basically every megawatt was needed on the grid to keep the system with a minimum operating level of reserves. So the fleet is in good shape. It remains in good shape. We tend to take some periods on the weekends to come down for some assets to do minor repairs to make sure they're ready to go. And of course, we use our weather -- our weather forecasting as well as coordinating with ERCOT with advanced notice to let them know what our intentions are, and that has been very helpful so that we're able to do the maintenance that we need. I will say in some other parts of the country in July in PJM, we did have a few struggles with some older coal units. And so the performance that we saw from the from the July generation and retail performance was offset some by where we were seeing some unit challenges in PJM, not fully offsetting by any means, but just recognition that when you run a 40,000-megawatt fleet, there's going to be some cases where you have some unplanned impacts. Those units have been recovered and they're operating, but it's still just a matter of a large fleet diversified across the country. But in the moment, when ERCOT was its tightest and when these units were needed there was exceptional performance by the ERCOT fleet.
Operator: Our next question comes from Durgesh Chopra with Evercore ISI.
Durgesh Chopra: Congratulations to you both. I just wanted to go back to the -- I'm sorry, I was going to ask you a question about your debt-to-EBITDA metrics. And obviously, as of the second quarter, they're kind of -- you've got some margin contributions there. So they're elevated above the 3x target you have long term. Maybe just could you talk to how do you see that trending over the next few years? Should we expect them to kind of remain elevated given the margin deposits? Or how should we think about those targets over the next 12 to 24 months?
Jim Burke: Sure. Yes, Durgesh, thank you. In the deck, we tried to highlight the total debt numbers, recognizing, of course, we have cash on hand. And then we have a significant amount post of this margin deposits. And of course, as we operate our fleet and we serve customers, we would expect this cash that's posted in terms of net margin deposits to come back into the system, and we've used that obviously, to pay down debt, as Kris indicated in his remarks. I believe that we're tracking, and I think you see this in the chart, I think we're tracking in the low 3s in under normal course of operation here in the very near term. If we have to keep posting margin, it means that the curves are moving up, and that probably means that our unhedged position is even more in the money, and that's a good thing from an enterprise value for Vistra. So I think the most important thing that we've done, and Kris has done an excellent job of doing this, is securing ample liquidity, which I realized that you've read some announcements over time, wondering what is the adequate amount to have, and that's something we monitor every day, and it's a function of how hedged are we, what's the volatility in the market, how far out are we hedging. And if anything, we're going to be conservative on the liquidity side and make sure that we are not paying down debt, permanent debt any sooner than we should because we want to make sure that the liquidity is there to keep taking advantage of these market opportunities. And so I'm going to ask Kris if he would like to add something.
Kris Moldovan: Yes. Thanks, Jim. The only thing that I would add is that it's just the timing that you referenced. As we reported this morning, we have approximately just over $3 billion of cash posted and a significant amount of that cash will come back over the balance of this year. And that's what -- as we perform and our units run. So that's what gives us the ability to be confident we say that we'll be able to repay more than $2.5 billion over the balance of the year and get back into the range of our target, we think, in the very near future.
Operator: Our last question comes from Jonathan Arnold with Vertical Research Partners.
Jonathan Arnold: Durgesh just asked what I was going to ask. One other thing I wanted to -- just curious on as Vistra Zero grows and you start to see more of a contribution. How are you going to show that to us? Any thoughts about sort of does it just show up in the segments? Are you going to call it out just sort of back to the comment on anticipating replacing EBITDA from retiring coal with that portfolio over time. There's no -- any sense of just sort of tracking that we'll be able to do on that.
Jim Burke: Yes. Great question, Jonathan. I think I even indicated earlier this year that we would envision providing visibility for that segment. And at that same time, we were focused on restoring Moss 300 and 100 because until we got these assets operating in the spring in Texas and got Moss 300, 100 restored, there wasn't a lot of operating EBITDA in Vistra Zero. Now that we have even those assets on the ground and operating with obviously Moss 300 and 100, we have a material contribution for 2023, we see it in the ballpark of around $200 million coming from Vistra Zero. That's not a segment reported yet, but I see us getting to that segment reporting towards the end of this year. And we just wanted to make sure if it was meaningful, Jonathan, to go through that exercise at this point and we wanted to get the operating assets on the ground delivering and we've got that. So I think you can expect to see more visibility into that towards the end of the year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jim Burke for any closing remarks.
Jim Burke: I just want to thank you for taking the time to join us, be with Kris, myself and the management team. We are incredibly excited about where Vistra is, and we look forward to speaking to you again in a few months as we update you on our execution and our outlook for 2023 and beyond. Thanks again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.